Operator: Welcome to Techtronic Industries' 2022 Annual Results Announcement Analyst and Investor Webcast. In this annual results webcast, TTI will share the updated performance for the full-year ended December 31, 2022. Before we begin, let me introduce to you the key management of TTI with us today. They are Mr. Horst Pudwill, Group Chairman; Mr. Frank Chan, our CFO; Mr. Joe Galli, our CEO. Mr. Horst Pudwill will first give us an opening remark, then Mr. Frank Chan will take us through the full-year financial results, followed by the business overview and strategy by Mr. Joe Galli. Without further ado, let me pass the time to our Chairman for the opening remark. Mr. Pudwill, please.
Horst Pudwill: Thank you for attending TTI's 2022 annual result announcement. We are presenting our annual results announcement via webcast. I'm pleased to announce that TTI delivered solid results for the full-year of 2022. TTI demonstrated the resilience of its consistent and highly focused business strategy in a challenging operating environment. After nearly doubling the revenue base from 2018 to 2021, we delivered 2.8% sales growth in local currency for 2022, led by extraordinary sales growth of the MILWAUKEE brand. I'm delighted that our gross margin further improved to 39.3% from 38.8%, an increase of 54 basis point. In addition, free cash flow in the second half was $676 million to finish the year at $329 million. The gearing also improved to 32.1% for the year-end, compared to 40.5% in the first half of the year, driven by strong free cash flow. With a strong increase in free cash flow and a healthy balance sheet, TTI is well-positioned to further expand our global industrial professional and consumer leadership position. We are highly confident in our ability to continue driving market share gains and outperformed the market in 2023. Frank Chan, our Group CFO, will now provide you with the 2022 full-year financial overview. And Joe Galli, our Group CEO, will cover the overall business strategy. I will hand you over to Frank Chan and Joe Galli for the presentation. Thank you.
Frank Chan: Thank you, Mr. Chairman. 2022, in particular, the second half of the year indeed been very challenging. And yet we continue to deliver growth with sales increased by 2.8% in local currencies. Extraordinary share gains by our cordless market leadership, new product innovation, in-field marketing initiatives and geographic expansion all propelled our industry-leading performance. Gross margin increased for the 14th consecutive year by 54 basis points from 38.8% in 2021 to 39.3% in 2022. Mix improvements, new products, aftermarket battery business all contributed to the improvements, which more than compensate higher cost environment, reduction in production to control our inventories. EBIT increased by 0.8% to $1.2 billion. Overall, EBIT margin increased by 10 basis points to 9.1%, mainly driven by Milwaukee's spectacular performance. Net profit declined by 2% to approximately $1.08 billion as interest rate increased, particularly in the second half of 2022 by 2.75% in 6 months, which, as a result, our net finance costs increased by $34 million as compared to that of last year. Earnings per share declined also by 2% to $0.5886 per share. Despite 2022 being a very challenging year with our very disciplined working capital management and CapEx spend, together with our very stringent cost controls, we've been able to generate tremendous free cash flows in the second half of 2022, delivering a positive free cash flow of $329 million for the full-year. The Board recommended a final dividend of HKD 0.90 per share, 10% lower than the HKD 0.100 per share in 2021. Together with the HKD 0.95 interim dividend paid, subject to shareholders' approval to the recommended final dividend, total dividend for the year 2022 will be HKD 0.185, same as that of last year and a payout ratio of 40.6%, compared to 39.7% in 2021. Our key performance metrics has always been operating results must outperform sales growth. For 2022, despite a very small decline in net profit, on a 14-year CAGR basis, we have continued to deliver this target with EBIT and net profit increased by 19% and 24%, respectively, as compared to sales growth of 12%. Our return on equity for the year 2022 was at 21.7%. Power Equipment division, representing 93% of the group's revenue, delivered a 3.1% growth of 5.5% in local currencies. MILWAUKEE delivered a spectacular global sales growth of approximately 22% in local currencies, offsetting declines in consumer power tools and outdoor business due to softer consumer spending, unfavorable weather, and destocking by our major home improvement channels. Operating profits of this division increased by 6.6% to $1.24 billion, with margins increased by 30 basis points to 10%. Floorcare and Cleaning division account for now only 7% of the group's revenue declined by 25.6% to $925 million. This business was negatively affected by the post-pandemic demand and reduction in inventory in the retail channel. The division incurred an operating loss of $38.1 million for the year. We remain committed to this business. And we'll focus on cordless innovation, new and better products, better managed production capacity and aggressive cost controls to restore sales growth and result improvements going forward. All regions delivered revenue growth in local currencies. North America grew by 0.3%, while Europe grew by 9.4%, and rest of the world led by Australia and Asia grew by 15.2%. SG&A as a percentage to sales was at 30.4% as compared to 29.9% in 2021. We have taken aggressive actions in rightsizing our cost structure in the second half of the year, and we expect the full benefits of the cost control across all levels will be fully recognized in 2023.  What we did not cut back was our investments in R&D, which we increased our spend by $58.6 million. R&D account for 3.7% of sales in 2022. We estimate R&D spend as a percentage to sales will remain to be at mid-3% level of sales going forward. Net finance costs, approximately 0.3% of sales increased by $34 million as compared to last year. The increase was mainly due to the 7 interest rates increase total to 4.25% in 2022. With our focus in generating free cash flows and the key objective to further improve our gearing. Despite we are still in a higher interest rate environment as compared to previous years.  We believe our net finance cost will be more efficient going forward. Effective tax rates remained comparable to last year at 6.9%, as we've been able to leverage on the performance on Consumer, Power Equipment, and Floorcare division to fine-tune our tax plans to be more efficient and effective. And therefore, we believe we will be able to deliver a similar level of effective tax rates going forward. Our balance sheet remains very healthy and strong with shareholders' equity increased by 10.2% to $5.2 billion. As of June 30, 2022, our gearing was at 40.5%. At our interim presentation, we stated that our primary objective in the second half of the year is to deliver positive free cash flows to improve gearing. We've been able to deliver this target through highly disciplined working capital management and CapEx spend. Gearing at end of 2022 was at 32.1%, improved as compared to first half but was still slightly higher than 28.2% in 2021. We will continue to execute our strategy of generating free cash flows to further improve our gearing going forward. Total net working capital as a percentage to sales was at 21.2% in 2022, as compared to 20.9% in 2021. As earlier mentioned, we have been very focused in managing our production capacity and inventory level. And therefore, been able to lower our finished goods inventory by [$266 million] [ph] or 2 days in the second half of the year as compared to first half 2022. We've also been able to accelerate our collections during the year and improved our receivable days from 53 days to 41 days. Payables reduced by 215 million at 104 days, a reduction of 6 days as we are efficiently and effectively managed our payment terms to generate optimal financing arrangements for both TTI and our suppliers. Our trade terms remained to be very favorable to TTI. CapEx for the year was at 581 million, approximately 4.4% of sales and 22.2% lower than that of 2021, coming off from high investment levels in the previous years. When compared to our debt portfolio in the first half of 2022, we have managed to reduce our total net debt by $375 million, and further improved our debt structure by reducing our floating rate borrowings by $221 million, or $373 million when compared to end 2021. Floating rate debts now account for approximately 61% of our total debt, which are mainly short-term borrowings and will be repaid with the free cash flows generated from operations. The balance 39% fixed rate debt are mainly with longer date tenure and with lower cost than the floating rates. We will continue to further optimize our debt structure to deliver effective and efficient finance costs to support our long-term growth. And now, I would like to pass the presentation to our CEO, Mr. Joe Galli. Thank you.
Joe Galli: It's my pleasure to share with you our results from 2022. We were able to grow our sales last year 0.4%, of course, in local currency, we were up 2.8%. We did have $319 million of currency headwinds last year. But we still came through with good, solid, well above-market sales growth last year. And if you take a look over the past four years, what you see is that back in 2019, we did $7.7 billion in sales. And that has grown dramatically over the past several years to a point where we had $13.2 billion last year. This year we're up 0.4% and that reflects our consumer group of businesses, which is RYOBI, outdoor RYOBI power tools, HART and Floorcare. That consumer group of businesses globally was actually down last year of 17%. Why? Because retailers had far too much inventory coming out of the pandemic, and we work in concert with our retail partners, reducing those inventories at the store level. And because of that, our sales were off in the consumer group. On the other hand, Milwaukee had a spectacular 2022. And in fact, Milwaukee sales were up 22% last year, and the momentum in Milwaukee is outstanding. So, when you blend all that together, we still grew last year, local currency 2.8%. Gross margin, yes, was up 54 basis points. I will very clearly explain that in a moment. We did invest aggressively in SG&A. We continue to invest aggressively in product development, geographic expansion, store coverage, marketing and all the elements that make our model unique, special and have put us in an unassailable leadership position. Our EBIT last year was up to $1.2 billion, so up 0.8 point. And our net profit was down 2% because interest expenses were higher than the previous year. So, if you look at the MILWAUKEE performance last year, what you see is hard to believe. As we all know, 2022 was a year with all sorts of geopolitical challenges, all sorts of economic issues, all sorts of hangover effects coming out of the pandemic. And yet MILWAUKEE, with its strength in the commercial arena, with its strength in infrastructure, with its expanding global presence, our MILWAUKEE business actually was able to grow 22% last year, and we were incredibly proud of this. And this is an essential element of our planned success because MILWAUKEE has a highly accretive gross margin. So, as MILWAUKEE grows faster than the rest of the company, automatically, the mix drives our gross margin up. And this is one of the key reasons, this is probably the number 1 reason why our gross margin keeps going up year after year for this 14 consecutive year streak. We also are really proud of our aftermarket battery sales. So, one of the benefits of us making the bold decision, really 15 years ago, to stop developing gas products and corded products and pneumatic products and hydraulic products, we decided to focus on cordless and the reward for that decision – and this was not easy when we started, because the global market for cordless is a lot smaller than it is today. But the reward for our obsessive focus on cordless is our aftermarket battery growth. We were doing less than $200 million back in 2015, okay? So, $200 million of battery sales, this past year, we did $1.3 billion, can you imagine? And batteries are even – have an even more accretive gross margin than MILWAUKEE. So, of course, our gross margin was up. And the MILWAUKEE sales, which outgrow the rest of the company, and our aftermarket battery sales are both massive drivers for gross margin. And we feel strongly we still have potential to continue to improve our gross margin. And let's not forget, all the new products we launch in all of our consumer businesses, we don't approve a single new product if it doesn't have an accretive gross margin relative to products that will replace or cannibalized. That's a discipline that we've inculcated throughout this company and I'm very proud of that. We also have an outstanding purchasing team. Our global purchasing organization has done a great job of harvesting the very best cost from our suppliers. And you can see why because we are the only company really growing at these levels in power tools industry, so suppliers are lining up to team up with us. And we're very grateful for the support of our suppliers, of course, and this is why we have the best payables environment, and we're getting to working capital in a moment, because our suppliers want to work with us. And they are very aggressively pursuing and coveting our business. We also have an outstanding global manufacturing system in the company. And let's remember back when the tariffs first were imposed back 6 years ago, we immediately moved to develop manufacturing in addition to our world-class Chinese operation. We moved aggressively into Vietnam, into Mexico and even in the U.S.A. And so, we were able to mitigate the impact of tariffs, which is another reason why our gross margin has not only held up but continue to grow. And the productivity that you see flourishing, gaining traction in our manufacturing operations all over the world is yet another driver of gross margin. We have grown more than any company industry, by far, over the last decade, and that volume gives us leverage in our manufacturing enterprise. And yes, drives productivity, which is the gross margin. So, we're enormously proud of what our teams have been able to achieve in gross margin. We believe we still have a lot of potential here if we continue to – with the discipline that we have of launching technologically advanced, demonstrably better new products that are focused on cordless driving that aftermarket of batteries. We actually think we're still just in the beginning of our real potential with cordless based on the technology that we see in our R&D system. And based on the momentum we have in our brands, not just MILWAUKEE, but the RYOBI brand and our other brands also have exciting potential going forward. Okay. Let's turn toward inventory. Last year, by design, we decided to stockpile even more critical components, semiconductors and cells for our batteries. Why? Because these critical components were in short supply so we locked in aggressively. We locked in supply agreements with our suppliers. And because of that, our ability to serve our customers around the world continues to be, by far, the highest levels you'll see at the customer level. We are committed to our customers to ship 98-plus service levels. You can't do that with all our new products, and with the kind of growth we've gone through, if there's a shortage of a semiconductor or a cell. So yes, we increased inventory in raw materials. We also increased some WIP inventory, but we actually cut finished goods last year. In a climate where our sales came in – remember, we were only up 0.4% in sales and yet our finished goods and inventory still came down last year, which I was pleased with. And so for the year, we came in at up 6 days on inventory, 100% because of the raw material increase. And as we turn toward 2023, we feel confident that we will reduce this inventory level. We have aggressive internal targets. And based on where we are today, we feel, again, very confident that we'll cut our inventory this year as we implement our plans. And as the retailer destocking process comes to an end, which we think will happen in the course of this year. As you look at overall working capital, we have world-class working capital, disciplined working capital management in the company. So, inventory was up 6 days, but receivables were down 12 days. We cut $400 million out of receivables last year because we were able to accelerate collections. And because we don't have bad debt write-offs. We have customers who pay their bills. We are proud to be associated with our customers. And we just don't have bad debt issues in the company. We've been very disciplined about this. That's why there's many customers in many countries we don't go into because we do not want to develop business where there's any question ever about receivables. And that discipline is alive and well in the company all over the world. On the other hand, our payables days did come down last year. Sometimes this is a result of timing. But the fact is 104 days of payables is still considered to be world-class. And this is because our suppliers want to work with us. This is because our suppliers covered our business as I've mentioned up front. So, working capital percent of sales came in 2021, too. We will get that in 2023 back down under [20] [ph], which, of course, is considered to be world-class. So, CapEx last year came in at $581 million. It's 4.4% of sales was a reduction for 2021. 2021, we invested aggressively in new manufacturing operations in Vietnam, Mexico, throughout the U.S., we invested in logistics centers. We did it – we would have never been able to capture the kind of growth levels of market share that we did without these investments in CapEx. We also continue to invest aggressively in new product development. And you have to remember, we are not making crazy acquisitions. We don't book restructuring charges after we make acquisitions. We have grown this company organically throughout the last decade. We've had made some small acquisitions, but nothing significant. And when you look at how we manage this company, we don't take those restructuring charges. So, that's because we're not making those crazy acquisitions. And hence, the CapEx investments have been aggressive because we're doing internal build-outs and not spending the money buying other companies. Okay. So, cash flow came in for the year, up we generated $330 million in cash. But in the second half, as you look at this, we were able to generate $680 million of cash flow. So, we had a nice sequential improvement from the first half and certainly a nice improvement from last year. This year, 2023, our cash flow will be a highlight of our performance. We're targeting very aggressive cash flow numbers this year. And that will be a result of – we will grow the company this year. We're looking – we believe we can grow the company to mid-single digit this year. In spite of the economic environment and turmoil you see around the world, we think we can grow the company 5%. We think Milwaukee this year can grow solid teens at the budget level, and we always have internal plans to grow more, as you know. And we believe our cash flow will be outstanding this year as a result of our sales performance, our gross margin improvements and our focus on working capital discipline, and the fact that our CapEx requirements will not be as significant as they were two years ago. Okay. Let's turn toward our product – our business units. First of all, MILWAUKEE is now the number 1 brand of professional industrial-grade cordless products in the world today. And this is pretty exciting. When you consider 15 years ago, MILWAUKEE had literally 1% market share in the Pro-cordless market, 1% market share. And today, that market share number is clearly in a leadership position globally. We're growing MILWAUKEE, like you saw last year like crazy, up 22% last year. We are incredibly excited about the 2023 for MILWAUKEE and really excited about it for the next 5 years. And let's look at how we're going to continue to build out the MILWAUKEE business.  Okay. So, this is a track record that's hard to continue. But we have so many new products in the pipeline, and we have so many new areas, new business areas in MILWAUKEE that we're going after. We are going to continue to try to grow MILWAUKEE well above market. We have an internal plan to grow MILWAUKEE 20%. That's not our budget, but that's the internal target that we set for our team. And our team is committed to this. And so far for 9 straight years, they've been able to grow MILWAUKEE above 20% a year. This is extraordinary, right? And remember, this is the key to the gross margin of the company. Let's not kid ourselves. This is the massive driver of gross margin. Okay. What I'm also excited about with MILWAUKEE is the fact that if you look around the world, we're not – this is not just the U.S.A. or even a North American phenomenon. Yes, we're up 22% in North America. And by the way, our Canadian team is doing an outstanding job in MILWAUKEE along with the American team. But look at Europe, up 22%, the European number is extraordinary. Europe has gone from 15 years ago, we were doing $50 million in Europe and MILWAUKEE. Now, this year, it's $1.1 billion. This is an incredible success story throughout the European theater. And when you look at Australia and New Zealand and Asia, we were up 23% last year. And that ROW, Rest of the World business is starting to become significant for the company as well. And our gross margins are consistently good. We don't go into markets with low gross margins and jack them up later. We go in high with pricing and our strategy with Milwaukee has worked beautifully with that approach in pricing and gross margin discipline. Okay. So, let's talk about categories that we have in MILWAUKEE that we are focused on for growth. We have 8 categories, a lot of subcategories, but there's 8 categories here that we're highly focused on. Number 1, is full-size cordless, M18 cordless. Number 2, is subcompact cordless, M12. Number 3, MX Cordless, which is the light equipment business that we are pioneering. We are on the vanguard of this brand-new technology, converting people from gas and other power source to -- in light equipment, to cordless. Number 4, battery-powered outdoor is the fourth major driver of MILWAUKEE future growth. Number 5 is power tool accessories. The accessories that you use with all those tools. Number 6 is hand tools. We have an incredibly exciting expanding range of hand tools that are flourishing in the markets around the world today. Number 7 is PPE, personal protective equipment, safety equipment, hard hats, nose protection, ear protection, skin protection, et cetera. And this is a massive category that's brand new for us that we're incredibly excited about. And then the last category is what we call PACKOUT, which is how we classify storage at MILWAUKEE. And you can't believe the momentum we have with our PACKOUT system and the storage solutions we're providing to end users. So, let's look at the first category, M18. So, we have a mandate in the company. Every three years, the mandate is we take the two most important products in the line. So, this is like our iPhone. A drill driver, impact driver, this series, which were designed in concert is the flagship of the MILWAUKEE fleet and the mandate every three years is we will launch a new generation. We just rolled out our fourth generation last year, and it's been widely successful. What does the new generation mean to us? That means every three years, that we've designed these tools to be smaller, lighter, more powerful, charge faster, they have a longer run time, run cooler. We now are actually inculcating machine learning into these tools, we are the first company in tools ever, to incorporate machine learning. And we also design these tools so they are easier to manufacture and they're loaded with other features. And we just rolled this out last year, and these impact drivers and drill drivers are selling like crazy, hence the 22% growth from Milwaukee. And we intend to continue to launch new generations on these blue-chip items every three years for the next 12 years. This should never stop based on the strategy we have in the company. So, when you have your flagship tools always performing at the highest levels, it does create a lot of momentum for the platform of M18. And so, we're going to continue to buttress that platform with all kind of products. This year, in the first half we're rolling out the world's first ever die grinder with a braking capability, which enhances safety. This has got far more capacity. It replaces pneumatic die grinder. It's light, it's more quiet and the reaction has been amazing so far with this product. We also have just rolled out a new hammer drill for concrete drilling. This is faster, lighter, more powerful than the corded units that control the market today. It's also equipped with best collection, which is vital with this application when drilling and masonry and the reactions of [indiscernible] again, has been terrific. Our M18 line features now 262 items. This puts us in a global leadership position. And these are not just need-to items. Every one of these products have been engineered to perform equal to or better than what would sell in the market to tell you in almost every case, we're demonstrably better than the leading competitor in this space. Okay, let's shift gears and look at subcompact. I'm incredibly excited about subcompact because this is a category – first of all, we have a commanding global leadership position here in terms of market share. We created the category. And we find miniaturization is a big deal. If you can make a tool smaller, lighter, less and will be safer because you don't have the risk of a fall. If you can develop tools for the user and they're confident in the power. This changes the life of these end users. And we are really committed to miniaturization. So here's a super cool product, this feather-light band file. This thing is subcontracted product. And it's perfect for smoothing out wells in metal and the pieces of metal and construction or in repair, like in truck or trailer repair. It's perfect for smoothing out wells and leaving the metal in a state where you can paint it or finish it. And this is a product that will replace pneumatic band files. The band file category has been around for years, but they're all tethered. They're all hooked up to a pneumatic device, which is noisy and which use oil and which is unwieldy to use. So, anyhow, we expect big things out of this band file. Secondly, in subcompact. We have – this is a really cool nibbler. Now a nibbler is a device that rapidly cuts holes in sheet metal. The nibblers in the market today are corded. They are heavy. They're noisy and inherently less safe. So, this nibbler for a commercial HVAC installer with the deck work, this is a lifesaver for them. And there are many, many other sheet metal applications, where the user now can utilize this nibbler and do so in a much safer, more convenient environment since it's cordless and super light. So, the next item, this is another really cool product. This is a subcompact planar. So, if you get a door in many markets around the world, doors come with rougher edges and you need to plane them on site. So, this planar literally one-handed planar. This planar will quickly and conveniently allow the user to prepare that door for proper hanging on the hinges. It also is ideal for all sorts of wood working activities, whether it's in a commercial or residential arena or for a hobbyist, for a woodworkers because it's so light and it's so accurate. So, our subcompact range, which now features 178 items is the broadest line of sub-compacted world and continue to expand. And you're just seeing the beginning here. We have a lot of ideas on miniaturizing cordless as we go forward. Okay. So, let's look at the big stuff. Here, we have MX. This is light equipment. We want to replace corded and petrol and pneumatic equipment on job sites worldwide. This MX range is unique to TTI, no one else has done this. This drilling rig, this core rig, this is an incredible beast of a product. This is cordless. And you can cut a 14-inch hole into imagery using this product. It's more powerful than the alternative power source units in the market today. It's got more features. And it's inherently safer without the tethering of a cord that you'll see in the other units that we attack in the market. We also are launching a – this is a revolutionary price of breakthrough product. So, we have the first ever cordless pipe threading machine. What that means is, this pipe threading machine, historically, you'll have to take the work to the pipe threader. Now because this thing is – it's cordless, so there's no cord, so you can wheel that pipe threader to any part of the job site. And taking it to the material is a massive breakthrough in terms of productivity, safety, et cetera. This product also has the first ever oil reservoir on board. So, most of these pipe threaders that you'll see in the market today, spill oil, it's a messy, dangerous operation. It takes all sorts of time to clean this stuff up, but with our unit the oil will self-contain in the reservoir. So, you lubricate properly without spilling your oil all through the atmosphere of the work site. So anyhow, we're very, very excited about the first ever battery-powered pipe threader, full-size pipe threader. Okay. So MX, which is still very much in a nascent state. This is a range that – of cordless products that we pioneered, and it's going to take some time to build-out into its full potential, but let me assure you, the potential here is massive. In order to perpetuate this potential, we actually have come up with a new battery charging system. This charger we call [Coolcycle] [ph]. And this is a high-speed MX battery charger that utilizes airflow to cool the battery. So, when you take a battery out of the tool and pop in -- when it needs charged and pop it into charger, batteries are hot. So, this actually blows cool air through the battery so that it cools it off and it allows it to charge faster and extends the life of the battery. And we think this will be a welcome addition to the MX family here, as we roll this out this year. So, let's shift gears now and talk about outdoor. So, there is an enormous opportunity for landscaper grade, professional grade, battery-powered outdoor products. And we intend to tap into that potential globally with the Milwaukee product line. So, we're rolling out this year, the really cool bullhorn-style brush cutter. Now, this is an incredibly important product for Europe, also very popular throughout the U.S. The bullhorn speaks to the way you activate the device and control the device. The reaction has been terrific. And we now have a growing line, a growing line of MILWAUKEE outdoor products. So, let's shift gears to talk about accessories. We are rolling out one new accessory after another. This particular product, this is a drill bit that goes through rebar without any risk. So generally, when you have a concrete carbide tip bit, you go through rebar, you have the risk of damaging your carbide, you shut the drill down. And our unit – our drill is the first one ever that doesn't have that issue. We have the fastest growing range of accessories in power tools today, and the part accessory market is the oscillating blade category. And we are rapidly coming to be a global leader here in this important category. Our accessories, when we nest them in [Packout stores] [ph], we find sales increased significantly. It's a very exciting part of our Packout series. And so today, our accessory business 15 years ago was $100 million, this year $1 billion globally for 2022 with a lot of future potential. Okay. Hand tools is another massive upside for us. We're new to the hand tools. 10 years ago, we weren't in the category. We're adding many, many leadership hand tools globally and the reaction has been fantastic. And we're really excited about what we can do here with the hand tool area.  Safety equipment, PPE is another enormous potential category for Milwaukee to tap into. And we've just launched a revolutionary line of helmets. We have – and actually, we have over 60 different configurations at these helmets. And just to show you the, kind of thoughtfulness that went into this design. Our team has engineered the helmet with a shield that actually pops up while the light, the headlamp is still engaged. There's no other helmet in the world that has that basic, obvious requirement built-in. And we also have all sorts of – you can accessorize these helmets with ear protection, nose protection, skin protection with SF50 shields, and all sorts of other safety additions that are enormous benefit to the end user. So, you should expect safety to become a growing part of the company, we have to build this out. We just build our own factory from scratch in the U.S., but over the next 5 years, it's an enormous opportunity for the company. Okay, Packout. Packout is – it's got a cult-like following in storage. So, people view Packout as the best solution for mobile storage, and we've now rolled out workshop storage, so for the garage workshop or even for the – even vehicular storage. This new Packout one might brag they are perfect. And by the way, the two best sellers in the Packout series right now are the wall-mounted battery holders for M18 and M12 batteries. Remember what I said about aftermarket battery sales. Well, that also propagates sales of these Packout products to store the batteries in your workshop. And of course, this is all driving that gross margin and we continue to emphasize. Okay. So, turning toward our DIY business. Look, last year was a tough year for our consumer businesses, but we are number 1 in the world with the RYOBI brand, in DIY outdoor, DIY power tools, and increasingly cleaning products. When you look at that overarching platform of RYOBI, it's pretty darn incredible. And we intend to continue to drive this with our rollout for this year. So, in the ONE+ system, we now have 280 different ONE+ products. This will continue to grow. Like I said, it includes cleaning. It includes outdoor and includes power tools. We just rolled out, for example, the number 1 requested item in ONE+, which is a [indiscernible] and it's off to a terrific start, it's brand new for us in the first quarter. We rolled out this super cool pruning saw, one-handed pruning saw and actually it's oil free. This is a pruning saw, [but] [ph] we've engineered it so you don't have to have the lubrication at work. So for a DIY, this is a perfect way for any pruning requirements that they might have. Shifting gears, we are pioneering a line of USB lithium miniaturized tools. These – and remember, miniaturization is a big theme for us, just like noise reduction, just like eliminating fumes, all that stuff. So, this USB lithium program is off to a great start. And I'll give you an example. Here's an inflator that uses USB charging. And this inflator is perfect for the bicycle enthusiast or for any homeowner looking to inflate anything, it's perfect. Here's what we call a glue pen, this glue pen ideal for all sorts of craft projects, perfect for kids and schools that have projects. As you can see, it's feather light, it's superfast and it runs off that same battery charged by the USB. So, you'll see this line grow as we go forward as well. Now, a 40-volt RYOBI is something we pioneered because we need longer run time for many outdoor applications with the DIY range of RYOBI. And one of the hottest sellers here, of course, is our Whisper series of blowers. We believe we're the leader in terms of focusing on acoustic management. And these blowers are not only powerful, but they're super quiet. And change the game when it comes to using a blower, whether it's in a landscaping application or for DIY. We also now have the 80-volt system, which is – we needed to pioneer this for our battery-powered riders. And this year, we're actually rolling out a 30-inch [swath] [ph] push mower, which is perfect for many of the yards in the U.S. or larger, and this allows you to cut the grass in half the time of a versus a standard swath mower. So, this – and we could only do this with the 80-volt platforms. That's why now we have this high-power platform for these larger products in outdoor. Okay. So, one of the pleasant surprises in RYOBI has been the emergence of RYOBI cleaning products and a benefit of us being in the floor care business with Hoover, Dirt Devil, et cetera, is that we have technology that we developed that we can cascade down into our RYOBI family. So, for example, this is the RYOBI stick vac, which has become a top-selling vacuum cleaner worldwide because the battery, the same ONE+ battery that we have broadly distributed in the U.S. and Canada, Australia, New Zealand, Europe, that battery is already installed with the charger. So, people walk in a store for a vac, they don't have to buy a battery and charger. And therefore, this product is in so many way crazy. One of the other cool developments is the new line of scrubbers that we've created. This is actually a scrubber that will shoot soap onto the surface. So, if you're going to clean your car, a pool, a boat, a bike, a patio, it's ideal for those applications. And we have an array of accessories that will enhance its capabilities as well. Okay. And finally, floorcare is on the right track in the company. We are working very hard to develop products that will outperform what's on the market today. We are focused on cordless. This is our new Hoover Evolve full-size upright vac. It's cordless. It's quiet. It's incredibly powerful. The suction is great. Dust removal is perfect. And we think this is the flagship of the new generation of Hoover that we intend to build around. And it's got the same removable battery. Many floor care companies do not have a removable battery. We think that's a colossal mistake because you can remove the battery here from that upright vac and use it in the hand vac, a spot cleaner, a stick vac and soon, many other products that will be part of this family. So, we're excited about Floorcare's progress, and we think the technology that we have will enable us to achieve our financial targets here as we go forward. So I am very grateful for all of our investor's support in the company and interest. I can tell you that we feel terrific about 2023. Yes, we'll grow this year. We think we'd say mid-single-digit growth is on track. We always have internal plans to beat that. Yes, we're going to drive cash flow this year. We think it's going to be an outstanding year for cash flow. And importantly, we look out over the next 5 years, and we really see ourselves in a commanding leadership position in the parts of the market that matter, which is only cordless.  We are not doing gas. We are not doing corded or hydraulic, pneumatic. We're focused on technological events, demonstratively superior cordless products that we'll continue to propagate the success that you've seen us deliver here consistently for a long time. Thank you so much.
Operator: Thank you for your participation, as this concludes today's annual results announcement analyst and investor webcast. You may now disconnect.
Q -: